Operator: Welcome to the RBC 2017 Second Quarter Results Conference Call. I would now like to turn the meeting over to Mr. Dave Mun, SVP and Head of Investor Relations. Please go ahead, Mr. Mun.
Dave Mun: Thank you, operator and thanks, everyone, for joining us this early in the morning. Speaking today will be Dave McKay, President and Chief Executive Officer; Rod Bolger, Chief Financial Officer; and Mark Hughes, Chief Risk Officer. Following their comments, we'll open the call for questions. [Operator Instructions] Joining us in the room are Jennifer Tory, who just started her role as Chief Administrative Officer this month but will answer your questions on Personal & Commercial Banking's second quarter results; Neil McLaughlin, our new Group Head, Personal & Commercial Banking; Doug Guzman, Group Head, Wealth Management & Insurance; and Doug McGregor, Group Head, Capital Markets and Investor & Treasury Services. As noted on Slide 2, our comments may contain forward-looking statements which involve applying assumptions and have inherent risks and uncertainties. Actual results could differ materially from these statements. With that, I'll turn it over to Dave.
David McKay: Good morning, everyone and thanks for joining us today. This morning, we reported earnings of $2.8 billion, up 9% from last year. And diluted EPS was up 11%. We have strong results across our core businesses. Canadian Banking had a good quarter with solid volume trends, particularly in business loans and deposits as well as cards. We demonstrated cost discipline even as we invested more in technology. I'm also proud that we were recently named Global Retail Bank of the Year for the third time by Retail Banker International. The impact of our long term focus on client relationships and favorable markets were factors driving double-digit growth in Capital Markets, Wealth Management and Investor & Treasury Services this quarter. In Capital Markets, we achieved market share gains in the U.S. and our investment banking fees also benefited from strong corporate activity. This helped us break through the top 10 globally, ranking ninth by investment banking fees, according to Thomson Reuters. In Wealth Management, our results were driven by strong performance in both Canada and the U.S. In Canada, our clients continue to choose RBC more than any other institution with their investments. And in the U.S., we had another great quarter, with double-digit growth in both loans and deposits at City National. Investor & Treasury Services continue to show strong earnings growth and cost control while investing heavily in technology for our clients. Our Insurance business had a stable quarter, although earnings were down due to the impact of the sale of our home and auto business -- sorry, insurance manufacturing business and last year's tax recovery. On credit, all of our credit trends were relatively stable and we remain well capitalized with a CET1 ratio of 10.6%. Our strong capital position enabled us to buy back over 29 million common shares in the second quarter. And since of the closing of City National, we have bought back over 80% of the shares we used to fund the acquisition. We continue to target a CET1 level of 10.5% plus which provides us with the flexibility to invest in our businesses for the long term -- for long term growth, while also returning capital to our shareholders. Before Rod expands on our financial results, let me share my perspectives on a few key areas. First, on Canadian housing. We continue to monitor a number of factors very closely, particularly the significant price appreciation in Toronto and Vancouver. We support the prudent approach taken by all levels of government and regulators over the past several years in order to maintain the long term health of the housing sector and the economy at large. Having affordability is paramount for Canadians. As I mentioned at our Annual Meeting in April, it will require the cooperation of all parties, governments, developers, realtors, banks and others to ensure that all Canadians have access to homes and that the related debt burden doesn't hinder other spending over the broader economy. We're encouraged by recent data in the Toronto market for April. New listings were up 34% from the prior year which suggests some potential easing of the supply-demand constraint that contributed to rising home prices. Overall, we believe the housing market will continue to be supported by steady population growth which is partially driven by immigration, household income gains and low interest rates. While we recognize some of the concerns in the market, we remain confident in the Canadian economy, the strength of our mortgage book and our prudent credit adjudication processes. Our loan portfolio is well diversified and our client credit profiles are strong. Second, on technology. Innovation is core to RBC. We have a tremendous amount of work under way to ensure we're leveraging our scale to be truly a digitally enabled relationship bank. We're changing how we work, collaborating with a diverse set of partners to explore new technologies with a focus on artificial intelligence and machine learning. We're investing in the wider Canadian digital ecosystem to drive the future prosperity of the country as shown by our recently announced partnerships with OneEleven and C100. Within our Canadian Banking business today, almost 85% of our service transactions are performed in self-served channels. Our clients are accelerating their migration to digital platforms. We currently have 3 million active users of our mobile app. That's over 10% of the Canadian adult population. We're responding to this evolving environment by making things as convenient as possible for our customers. For example, we recently launched the pilot MyAdvisor, our online wealth advice platform and the responses have been very positive so far. MyAdvisor combines the convenience of digital access with a human connection by using live audio to connect clients in real time with financial advisers for personalized advice. Another example is our proprietary RBC Rewards program. Our rewards program is a place where we engage with our clients to provide them with choice and real value beyond points while providing an exceptional experience. And last month, we introduced RBC Offers to make it even easier for customers to instantly access more ways to earn bonus points and get cash savings. We added great partners to the program, including Saks Fifth Avenue, Fairmont Hotels, The Keg and Indigo. We'll be adding more in the coming months. And finally, while providing exceptional client experience through digitization is important, we can't compromise on safety or security. Recently, there have been a number of reports highlighting major breaches around customer data security globally. I can confirm that RBC has not been affected by these cyber-attacks. We strive to ensure RBC clients are protected and have access to our services without interruption. We have also built a cybersecurity ecosystem through strategic external partnerships, including law enforcement agencies. Security is critical to both our business and our clients and will always be a top priority. Overall, we had another great quarter and a record first half, with year-to-date earnings of $5.8 billion and an ROE of 17.7%. Our results underscore the strength of our diversified model and we're focused on evolving how we work and accelerating how we do business with our clients. Going forward, this positions us well to generate stable, long term earnings growth. And with that, I'll turn the call over to Rod.
Rod Bolger: Thanks, Dave and good morning, everyone. Starting on Slide 5, we achieved strong EPS growth of 11%, while limiting balance sheet growth to 5% and RWA growth to 8%, demonstrating efficient deployment of our financial resources and capital. We reported positive operating leverage across all segments with the exception of Capital Markets. Our total operating leverage was impacted by higher legal and severance costs of $60 million over the prior year. Operating leverage in Capital Markets was negative 2% and reflected higher regulatory compliance costs as well as the change to the bonus deferral policy that we implemented in 2016. Adjusting for the higher legal and severance costs as well as the impact of the policy change, our operating leverage would have been approximately 1.5%. Turning to Slide 6. Let me take a moment to talk about the key indicators of our financial strength. These metrics are at the core of how we manage our business which is why they are part of our medium term objectives. First, our common equity Tier 1 ratio remained strong, although it came down this quarter at 10.6%. We had strong internal capital generation and we supported organic business RWA growth. We also executed on our share buyback program. The increase in RWA was also explained by an update to our corporate and business lending risk parameters resulting from our internal model reviews. We're continuously assessing our parameters and don't expect any significant changes in the short term. As Dave mentioned, we're very comfortable with our capital position in the 10.5% plus range. As we look forward, we will continue to prudently balance our capital, earnings growth and return on equity to benefit our stakeholders. Second, we continued our commitment of returning capital to shareholders. Our net payout ratio this quarter was over 100%, driven in part by our share repurchases. We also renewed our NCIB in March for 30 million shares and we're now halfway through that program. We don't expect our net payout ratio to reach these levels for the balance of the year and we expect to grow our CET1 ratio, absent any surprises or major changes to the pension discount rate. And third, we've been able to deliver all of this while growing our return on equity to 17.2%, up 100 basis points from last year. Now let me turn to the quarterly performance of our business segments, starting on Slide 7. Personal & Commercial Banking earnings were up 5% from last year. Canadian Banking net income of $1.3 billion was up 6% from a year ago. In the second quarter, the combination of good volume growth and stable spreads translated to solid revenue growth. Client volume was up 7% year-over-year, driven by loans up 5% and deposits up by 9%. We continue to win with our commercial clients with business deposits up 16% and business loans up 10% in the prior year. We achieved these results despite the low-interest rate environment, with NIM up 1 basis point from the prior quarter. Our fee-based businesses performed well, up 6% compared to last year which included a strong performance in mutual funds revenue which was up 13%. We continue to manage our costs while investing in our business for growth. Operating leverage in Canadian Banking was positive 0.7%, while our efficiency ratio was strong at 42.1%. Year-to-date operating leverage was a reported 4.9%. Adjusting for the gain last quarter, we're at 1.8% and we continue to expect to be within the 1% to 2% range for the full year. Turning to Wealth Management on Slide 8. Earnings of $431 million were up 12% from last year. With its top-quartile investment performance, global asset management continue to attract investments as the market leader in Canada with a market share of 32% amongst banks. In our Canadian Wealth Management business, we've been working across segments to leverage our distribution, brand and people across high net worth channels. Improved market conditions also helped drive asset growth and higher client activity. Meanwhile, in our second home market, City National continued to perform well. In U.S. dollars, City National reported net income of $57 million, up 12% from the prior year. Results reflect continued momentum in our loan book with growth up 15% from the prior year and improved NIM in our core portfolio. City National NIM was 2.81%, up 15 basis points sequentially, reflecting the impact of the 2 recent rate hikes as well as asset mix. We achieved these results while incurring higher costs to support business growth, including the addition of 380 net new colleagues as well as higher regulatory costs, including CCAR compliance. Moving to Insurance on Slide 9, we had net income of $166 million, down 6% from the prior year. Results reflect the solid underlying performance, including higher investment-related gains and improved claims experience. However, earnings were more than offset by the impact of a tax recovery in the prior year and the impact from the sale of our home and auto insurance manufacturing business which was approximately $15 million impact this quarter. Turning to Slide 10, Investor & Treasury Services delivered another strong quarter with net income of $193 million, up 39% compared to last year. Results were primarily driven by higher funding and liquidity earnings as the business was well positioned to benefit from volatility in interest and foreign exchange rates and good cost control. Turning to Capital Markets on Slide 11. For the past few quarters, markets have been driven by major political events and low sustained commodity prices. This quarter, our business performed well as client confidence grew in more stable markets. Against this backdrop, Capital Markets reported net income of $668 million, up 15% from last year. More clients did more business with us which drove strong investment banking fees, increased corporate lending and higher global market earnings. For example, we acted as financial adviser to Cenovus Energy in its $17.7 billion acquisition of ConocoPhillips. We were also a key partner in their bridge facility and we supported them again in their common share offering. As we've mentioned before, earnings last year were impacted by higher PCL as our clients navigated the low oil price environment. We continue to see improvements in this portfolio which also contributed to our strong earnings growth this quarter. We're focused on carrying the momentum in our investment bank into the second half of 2017. We also remain cautious in our outlook on the trading side amidst the general market slowdown as political tensions and uncertainty in U.S. monetary and tax policies persist. In conclusion, we're very happy with our results, especially in the context of significant investments we're making to ensure RBC can navigate the changing needs of our customers. With that, I'll turn it over to Mark.
Mark Hughes: Thank you, Rod and good morning. Turning to Slide 13. Our credit performance was stable this quarter, with total provisions for credit losses of $302 million, up $8 million or 3% from last quarter. Our PCL ratio of 23 basis points increased a modest 1 basis point over the same period. Our year-to-date PCL ratio on impaired loans of 22 basis points improved by 9 basis points year-over-year, reflecting higher oil prices and positive results from the oil and gas sector. Let me discuss the performance of each segment on Slide 14. In Personal & Commercial Banking, provisions of $262 million increased by $13 million from last quarter. Canadian Banking provisions of $256 million increased by $6 million quarter-over quarter, reflecting higher losses in commercial lending and higher credit card write-offs, partially offset by lower provisions in personal lending. Caribbean & U.S. Banking provisions were up $7 million from last quarter largely due to lower recoveries in our Caribbean personal lending portfolio. Wealth Management provisions of $15 million increased by $2 million sequentially, mainly reflecting a modest increase in provisions at City National. Capital Markets provisions of $24 million decreased by $8 million from last quarter as lower PCL in the real estate sector was partially offset by lower oil and gas recoveries. Turning to Slide 15. Gross impaired loans of $3.2 billion were down $310 million or 9% from last quarter. Year-to-date, gross impaired loans were down $654 million or 17%. Our gross impaired loan ratio of 59 basis points was down 7 basis points from the prior quarter. In Capital Markets, gross impaired loans decreased by $412 million from last quarter as we continue to see a higher-than-average number of accounts returning to performing status in the oil and gas sector. In Wealth Management, gross impaired loans increased $96 million, mainly due to 1 large international account and the impact of foreign exchange translation. Personal & Commercial Banking gross impaired loans increased $6 million from last quarter as higher impaired loans in Caribbean banking was partially offset by lower impaired loans in Canadian Banking. Let's now turn to our Canadian retail exposure on Slide 16. With 86% of our loans secured and no participation in the subprime auto lending or credit cards, our retail portfolio is relatively conservative. The increase in credit card write-offs largely reflected seasonal trends following a similar seasonal uptick in delinquencies last quarter. Our 90-day plus Canadian retail delinquencies remained largely stable quarter-over quarter. We discuss the performance of our mortgage portfolio on Slide 17. This past quarter, we acquired a higher amount of portfolio insurance as part of our ongoing balance sheet management activities. Insured mortgages now represent 48% of our mortgage portfolio which remains heavily weighted in Ontario and BC. In both provinces, our 90-day plus delinquency rates remain well below national level of 22 basis points which in itself is at the lowest level in recent years. Given elevated house price appreciation over the past year, we continue to closely monitor new originations and the underlying debt serviceability of the borrower. We remain comfortable with our clients' ability to repay based upon the following, the quality of our mortgage originations remain strong, with the average FICO Score similar to our existing portfolio; LTVs at origination are lower for higher levels of property prices in the GTA and GVA; we employ a risk-based approach to property valuation, including employing more extensive appraisals for higher-value properties; approximately 1/3 of our clients are on an accelerated repayment plan; and finally, unemployment rates are low nationally. Overall, I'm pleased with the performance of our lending portfolio this quarter. Should continue -- current conditions persist, I expect PCL to be around 25 basis points for the full year, subject, of course, to quarterly volatility. Turning to market risk on Slide 18. Notwithstanding ongoing geopolitical risks and related market volatility, our average VaR remained relatively flat at $25 million and we had 0 days of trading losses this quarter. With that, we'll open the lines for Q&A and over to you, operator.
Operator: [Operator Instructions]. Our first question is from Rob Sedran with CIBC.
Robert Sedran: I have a question on City National and there's a number of different slides that referenced it and a lot of different growth rates and stuff. But I'm looking at Slide 24 of the presentation and I guess on an adjusted basis, not seeing a whole lot of earnings growth. A lot of volume growth and I guess revenues as well, but the earnings growth doesn't seem to be moving. I'm wondering if I'm perhaps looking at one of the wrong measures. And if not, I'd love to hear when that glide path might begin to move higher.
Rod Bolger: Yes, thanks, Rob. So some of that is seasonality and what we would expect. And we really look at the year-over-year comparables. And so we're continually looking at that 10% plus growth year-over-year as there is seasonality in terms of when certain bonus payments become payable for eligible retired employees, also seasonality within the deposit business. So I would encourage you to look at the year-over-year as opposed to the sequential quarter in terms of that. Plus, you would have seen the core NIM rate increasing over the last 2 quarters. When you strip out the acquired loans portfolio, the core NIM rate in the lower right of that slide is also increasing. That will also provide uplift. And with our loan growth in the mid double digits, as it has been and NIMs growing and losses remaining low, that is going to benefit us. You also have to recall that the PCL is impacted by purchase accounting. We wipe it all out and then we have to build it up in subsequent years and so that also negatively impacts the earning trajectories on a sequential basis. But because of the growth in the core business, we're able to earn through that. And then finally, we have been investing in growth. We've invested in new markets. And we're still earning double digits on a year-over-year basis in spite of those new markets as well as additional sales force and colleagues in our existing markets.
Robert Sedran: So you'd have us focus on the blue part of that graph, in other words, the $57 million over the $51 million, not the $83 million over the $84 million? Is that correct?
Rod Bolger: Correct. And the... the gray is -- that is, we would expect the gray to come down a bit as the integration costs come down and then the amortization of intangibles will be fairly consistent over the next several years.
David McKay: It's Dave. Also, you got less days in the quarter. So in most retail consumer businesses, you would expect to see that Q2 over Q1, just to Rod's perspective on seasonality, you have to look year-over-year for Q2 particularly.
Operator: Our next question is from Meny Grauman with Cormark Securities.
Meny Grauman: Dave, you were pretty clear about your positive outlook for the Canadian housing market. But I'm wondering as investors think through the potential risks floating out of Home Capital's troubles, curious to hear your thoughts, how do you view that risk? And more specifically, if there is some sort of freezing of the alternative mortgage market or some sort of significant impairment there, do you view that as a concern for the system as a whole? Or would you actually view that as a positive development, maybe making this system as a whole more secure?
David McKay: I don't view it as a positive development nor do I view it as systemic. I mean, when you look at the total number of mortgages outstanding, well less than 1% of the Canadian marketplace, it is not a systemic risk if that firm were to continue to experience trouble. Those loans will either get refinanced in the market and it would take some time potentially. But I do not view something that's less than 1% of the market, in an [indiscernible] space in that asset class systemic to the core books that most banks carry which are very, very strong borrowers with low loan-to-value ratios, with very strong credit scores. So I think it is an anomaly in the sense that there originally wasn't a credit reason to drive the liquidity challenges that Home Capital faced, but more a lack of confidence based on some disclosure. And I think there's learnings for everybody in that issue in itself. But I do not believe that is a systemic risk to the overall mortgage market which is principally driven by employment and income growth; demand formation which comes from strong immigration trends which we continue to see; household formation. So we're -- in the core markets, we're seeing strong demand formation and strong bidding. We're seeing supply challenges. So the core market remains imbalanced towards the demand side. But a small player like that would not have systemic risk and it should not cause Canadians to lose confidence in the value of their homes nor pose contagion credit problems to our book. Those are driven by the macro trends that we constantly talk about.
Operator: Our next question is from Sumit Malhotra with Scotia Capital.
Sumit Malhotra: First, for Rod on capital. There was a mention in the presentation about the 26 basis point impact of a parameters review. I was a little late getting on the call, so I apologize if you covered it in your prepared remarks, but was hoping you could just give us a little bit more information on what that entailed? And is there further reviews that are being undertaken across your portfolio?
Rod Bolger: Yes, thanks for that, Sumit. We -- yes and this is -- we annually review -- we review all of our parameters. We had a couple of changes this quarter. And this is -- as we get more granular data and refine our models, this is what I would consider a normal change, although higher than what we typically see. But I would cite that the $11 billion RWA as a percent of $383 billion of credit risk RWA or even $1.7 trillion of credit exposure, just as you put it in that context, that said, we're continuing to update our parameters. We don't expect any wholesale changes in the near term. We may have a retail change, but it would be far, far smaller than this in the next few quarters. So I would expect to see nothing of this magnitude for the foreseeable future and nothing of any meaningful magnitude for the next several quarters.
Sumit Malhotra: That's helpful. I do recall it was a couple of years ago, I think, you had done the corporate and commercial portfolio initially and then the retail followed and both had an impact. But it sounds like you're saying it shouldn't be that much from the retail portion this time around.
Rod Bolger: Yes. Far -- as we have a range but anything is well, well below this and won't really impact our overall ratio is the current expectation.
Sumit Malhotra: And if I could get one more in on the actual business for Doug McGregor. Very strong results in the underwriting and advisory line for the bank. And I wanted to ask you, a few years ago, with this business, we'd heard a lot about the buildup of the corporate loan book and how that was helping the bank win industrial banking business or capital markets business. Loan book has had less growth. And we've certainly heard a lot about the pause in commercial lending in the U.S. as some of the policies of the new administration are maybe taking longer than expected. It doesn't seem like you're seeing any of that pause on the investment banking side. I was just hoping to get your view on whether there's a dichotomy between what's happening in lending and how the actual investment banking business is trending.
Douglas McGregor: On the loan book, most of the growth that you've seen over the last several years and it has slowed down significantly over the last 18 months, most of the growth has been in the U.S. and, to a lesser extent, in Europe. And where you saw the buildup of the loan book in the U.S. was when we were adding bankers and adding sectors into the investment bank over the previous 5 years. Over the past 18 months and probably going forward, we're really just trying to take market share and not expand the sectors that we cover because we think we've got -- we're in 10 industry sectors in the U.S. and we're happy with that. So it's going to be more about repositioning the loan book with clients that we get a better return from and repositioning away from clients that we don't think the return of the risk is as attractive as it was when we made the loan. So it's more about repositioning than it is robust growth for the time being. Although our bankers know that for the right credit and the right business opportunity, we have balance sheet for the customers and we'll be there to support them. On the investment banking side, the growth that you're seeing is really market share growth and it's growth in the U.S. and the U.K. in the loan syndication and private equity side of the business, in particular. So the sponsors have been very, very active in the U.S. and our market share and our position with those clients continues to improve. So we're going to continue to try to improve our standing in those markets with important clients and it's picking up momentum. Our brand is getting better. Our retention of people is good and it feels pretty good.
Sumit Malhotra: $590 million in underwriting and advisory is a big number. So it looks like it's going well.
Operator: Our next question is from Sohrab Movahedi with BMO Capital Markets.
Sohrab Movahedi: Dave, I think you spent a bit more time than normal talking about the investments in the technology area and I just wanted to get a sense, do you see the pace of investments having to pick up from here? Or are you just reminding us that you're continuously making these investments?
David McKay: I think it's more of the latter. I think we have seen a ramp-up in our investments over the last year. We've accelerated quite a bit of our digital development. We highlighted a couple of launches that we've had over the past 6 months that we're quite excited about. We have a many more coming. So you've seen a ramp-up in our -- in building the digital infrastructure that we need to be a full relationship digital bank, where we can offer every product in the digital environment on the sale and also transact with our client digital which we're obviously well on our way with. I think 84% of all transactions are already transacted digitally with us. We're also seeing a ramp-up in our cybersecurity. And I called that out, given some of the sensitivities in the market. We've almost doubled our spend on cybersecurity. We've -- a number of the patents that we filed over the last 5 years, we started with the base infrastructure of cybersecurity before we built our digital platform. I think we're the only bank that really started there. So that was a very important foundation to how we're building our products, but we continue to invest heavily in cybersecurity at the same time to make sure that we continue to offer the safest and soundest financial platform in the world. So I think both of those have caused us to ramp up spend and why our NIE is a little bit elevated. They will pay back both on the revenue side and on the cost side going forward. But that is the result of our activity.
Sohrab Movahedi: Okay. And so if I take that and your broader outlook, let's say, looking through 2018, I mean, it's been an interesting start to the year halfway through it. Has your outlook for '18 as far as the bank's earnings capacity and expectations changed? And if it changed, has it improved or has it deteriorated?
David McKay: I think we remain confident in the markets we're operating in. We operate predominantly in Canada, the U.S., the U.K. and Continental Europe and we're seeing strong constructive markets across all our businesses, as you just heard Doug McGregor answer on the Capital Markets side, very, very strong momentum across a number of markets, particularly in the United States. You saw on the Wealth side strong results in Canada in our Wealth franchise. Very strong results in City National, good growth that will produce the earnings growth that we're looking for on double digit side. And our retail bank, you look at the business volumes that we saw coming through and we've lagged over the last couple of years on both business loans and deposits, very strong growth on the lending and deposit side. Strong credit card rates. We're being a little cautious with mortgages. So overall, our volume and margin in the retail side are good. And we've seen a little bit of elevated cost, but as we talked about, we're still aiming to be around 1.5% if not at the high end of towards 2% on operating leverage. So we're seeing revenue growth, we're seeing good revenue growth this quarter. We're seeing good cost control. We're driving the operating leverage that we talked about. So we're managing that elevated cost base by seeing the benefits on the revenue side at the same time. So we're feeling that we should finish the year, as long as the economy maintains its current trajectory, with good operating leverage and the revenue growth that you've seen. So I think...
Operator: Our next question is from Doug Young with Desjardins Capital Markets.
Doug Young: I guess my question is for Jennifer. You had 1 basis point of NIM expansion this quarter sequentially, different than we're seeing with the others. Just wondering if there's anything unusual or any onetime items? And if you can give a little color as to what's driving that? And then on credit cards in Canada, we're seeing some pressures on the interchange fees from a few of the others. It doesn't -- and correct me if I'm wrong, it doesn't look like this has impacted Royal. So I'm just wondering what would be different with Royal's books versus the others on the credit card side?
Jennifer Tory: Thanks, Doug, for the question. On the NIM, the increase this quarter was largely driven by seasonality in cards client activity that was partially offset by spread compression. So we don't expect this quarter represents a trend in NIM, as we've still not seen material changes in fundamentals that would indicate immediate upside in that category, although we'd love to see that. But at low interest rates, we still are targeting some compression, but maybe 1 basis point or 2, as opposed to before we were guiding to more 2 -- 2 basis points. On the card side, it's really a couple of different factors. One is product mix. So I think across different banks, there would be a different mix of products. And including, we just launched a new commercial card which is not impacted in the same way by interchange. And also, we've had very strong purchase volume and we've been gaining market share and so our purchase volume has been very strong and has offset some of the impacts that we might have felt from interchange. The other thing, if there are interchange impacts that we have an advantage in, is that we have an in-house rewards program where we can control our destiny, if you will, in terms of our cost, our cost structure. So I think those things are factors that we would look at in that regard.
Operator: Our next question is from Gabriel Dechaine with National Bank Financial.
Gabriel Dechaine: Just a question on -- a quick one on the loan book. You've got about $43 billion of real estate loans in the commercial corporate loan book, it's in your supplement there. Can you give me a general breakdown of what's in there and what's the biggest drivers of the growth? And then on the RWA model adjustment, it looks like you had a bigger, I guess, shift or migration into the BBB- and below categories. How do you -- and that -- and it looks like that's where the bulk of the exposures are. How do you square that capital breakdown which shows a big exposure to sub-investment grade, I guess, to your comments -- or the, I guess, description of the corporate loan book that it's primarily investment grade? What's the disconnect there that I'm missing?
Douglas McGregor: I'll start with the real estate -- with the growth in the real estate book. So we have real estate books in the investment bank in 3 geographies. And in Canada, it is a $6 billion, plus or minus, book that would be in part revolvers to reach and some of the real estate companies that the pension funds operate and then it would also have a commercial mortgage book which would be large office buildings and shopping centers owned by Canadian pension funds and development companies. We have a similar book in the U.S. where we would lend to about 40 or 50 REITs revolvers and a small participation in term loans, would be about half of a $6 billion book. And the other half would be mortgages, mostly to financial sponsors, the biggest one being Blackstone. But we lend to Blackstone, Lone Star in the U.S. and in Europe. And in Europe, our book is similar sized, $5 billion to $6 billion drawn and that is almost entirely mortgage product to financial sponsors, the largest again being Blackstone. The reason we're doing this is the advance rates are in the 60s. We typically do pools of assets that are cross collateralized. We like the risk. And the returns on those books are quite good.
Gabriel Dechaine: So it's $6 billion -- about $5 billion, $6 billion in each of the geographies? That's still like half I guess of that real...
Douglas McGregor: That's the book in the investment bank.
Jennifer Tory: In Canadian bank, the balance would be primarily in commercial mortgages, so about 65% commercial mortgages. And the rest would be our ongoing support of developers which moves up and down.
Rod Bolger: And let me try to take your other question about the risk weighting. And you may be looking -- and maybe you're not, but maybe you're looking at Page 44 of the supp, but I'd turn your attention perhaps to Page 28 which gives the -- really, the movement of the risk weights. And what you'd see there is the portfolio credit quality on credit risk actually improved in the quarter. And the increases were the methodology change that I mentioned earlier. Foreign exchange which we hedge and then portfolio size from client business growth. And if you're looking at Page 44, that -- what you're seeing there is really the impact of the model changes and the parameter changes and that's why those, on each of those line items saying BBB, you saw increases, it's because of that parameter change as opposed to a degradation of credit quality.
Gabriel Dechaine: Is it -- I think -- is your practice if it's -- because you have a lot -- a big commercial borrowing base in Canada, none of them are -- or a lot of them aren't externally rated, you would take a much more conservative view on those? Is that -- I recall something along those lines.
Mark Hughes: It's Mark here. That is correct. We do -- all of our borrowers, even those that are externally rated, we would drive our risk ratings based on our internal determination. So we could even have deviations from external ratings. But those that are not externally rated would all have the internal rating category attached to them.
Operator: Our next question is from Nick Stogdill with Credit Suisse.
Nick Stogdill: Just a couple of questions on Canadian Banking. Rod, I believe you mentioned you're still targeting 1% to 2% operating leverage for the full year. I think last quarter you talked about being at the upper end of that range, is that still a good target or assumption, being at the upper end of that range?
Rod Bolger: We're certainly aiming for that and we expect to be within the range for the full year. You will see some seasonality from quarter-to quarter. And we -- if margins hold up which we expect them to and volume holds up across the board and that includes the higher business growth that we've been seeing, that would give us the revenue growth that we need as a key component of that operating leverage. We're making the investments in digital and technology to meet client needs that Dave outlined. And as well as to drive the continued efficiency. And you'll see our FTE numbers in our information. We continue to impact that so that we can hopefully achieve that operating leverage at the higher end of that range.
Nick Stogdill: Okay. And my second question, just on the personal lending line in Canada, it looks like the balance has been declining for nearly 2 years, becoming a little bit more flat in the last quarter or so. What's driving that decline? Can you refresh us? And maybe the outlook on growth there and split out maybe HELOCs and auto?
Jennifer Tory: Yes, thanks. It's Jennifer. We've -- it's mostly been auto that's been impacting our volumes in the last several years. And some of our Ally runoff is finally nearing its end. But we continue to drive increases to our dealer base. We've actually been growing our commercial auto business quite well and so we expect to see some turnaround in our personal lending volume on the auto side, reminding ourselves that we continue to focus on the prime space, whereas -- so it's externally competitive. Our secured lines of credit balances are continuing to be flat or a little bit down because clients are choosing to refinance those into their mortgages, given the low interest rates. So those are the 2 main factors that have been impacting our personal lending balances over the past several years, actually.
Nick Stogdill: And you're expecting to be a little bit more stable going forward as those factors moderate?
Jennifer Tory: Yes, that's our hope.
Operator: Our next question is from John Aiken with Barclays.
John Aiken: With the decline that we saw in the CET1 ratio, you're still above your target level. But do you look at your target level 10.5% in a global context? And where I go about this is, I know that the market compares Royal and the Canadian banks against U.S. and European peers, but does this ever actually come into the discussion with your client base in terms of relative capital positions even though there's no real concern on Royal's front?
Rod Bolger: Yes, it's Rod, John. I'll take that. We certainly do look at the global peer group and a number of the banks in the U.S. have cited that they have surplus capital right now and they'd like to lower it. I also ask you to recall that our 100 basis point D-SIB surcharge is at the low end of the GSIB surcharge range and there are others that are well above that 100. So they have a lower minimum -- or a higher minimum. We have a lower minimum than they do, so we really look at it compared to that capital conservation buffer plus the D-SIB. And we started the quarter with a 300 basis point buffer, ended the quarter with a 260 basis point buffer. And we look at the risk in our business, we look at the risk in the economy and we look at the -- all of our stress testing on a continuous basis and we're quite comfortable with that. I would also say that as we look at the overall levels of our peer group, we treat capital, we have a high degree of capital discipline and we want to put it to the best use for our stakeholders. And so we would prefer not to have too much surplus capital. That said, we'll be -- we're happy, as we were last quarter, to be above that 10.5% plus range, at 11%. And we may flow back up to that level because we do drive significant internal capital generation on a quarterly basis. From a client perspective, they look at our financial strength and they take a lot of comfort in that and that drives a lot of business our way. So clients are not uncomfortable with our capital levels and, in fact, they're quite comfortable.
Operator: Our next question is from Mario Mendonca with TD Securities.
Mario Mendonca: Rod, I want to go at that question in a similar way on the capital ratio. I've become accustomed to seeing Royal's capital ratio at the high end of the peer group here in Canada and I always thought it made sense because of the potential that one day, Royal could be a GSIB. The share repurchase that we've seen and the potential for a little more going forward, does that tell us that Royal's doesn't think the bank would likely be labeled a GSIB? Or that in fact, if it were labeled a GSIB, it's something you could tolerate?
Rod Bolger: Yes, that's an interesting point. I would say that the low end of the GSIB is 100 basis points. If we were to become a GSIB, that's the bucket that we would fall into. The GSIB and the D-SIB, it's -- across the world, it's an either/or. So we would not expect to have a different minimum than our Canadian peer group or than our global peer group who are in the same 100 basis point bucket. So we would expect to have to maintain the 10.5% plus ratio that we have today if we were to become a GSIB. Additionally, if we had not bought the shares back on a year-to-date basis that we have, our return on equity would be in the 16s versus the 17s. And we take that as a key indicator of our strength and a key indicator for our shareholders. So we -- it's something that we focus on. I would say that we do expect the share buybacks to slow down significantly in the second half versus the first half. I would not expect to see similar levels over the remainder of the year. And in fact, even though we're comfortable where we're at 10.6%, we might see it ease up a little bit to the higher end of that 10.5% plus over the remaining 2 quarters.
Mario Mendonca: So Rod, is it your view then that the domestic buffer, that 100 basis points, would be you'd be allowed to use that to cover a global -- like a GSIB buffer that one -- the domestic covers the global if you were to be labeled a GSIB?
Rod Bolger: Yes, I'd put it another way, I'd say it replace -- the GSIB replaces the D-SIB.
Mario Mendonca: And that's been determined? Because I always thought that was more a theory and not in fact the fact yet, but you're describing it as a fact now.
Rod Bolger: I'm describing it as our expectation, that would be subject to finalization. That is how it is handled globally. We see no other circumstances where a GSIB is also -- a 100 basis point GSIB is also given 100 basis point D-SIB to become effectively a 200 basis point GSIB. It's counterintuitive. You basically are putting some -- you would be putting that bank in a higher bucket. But that would be the expectation. And we're comfortable that, that will be the outcome if we're to become a GSIB. There's also a phase-in period that -- now that said, we don't think there would be any CET1 impact from a phase-in because we still believe that the minimum, as we would print in our report to shareholders, would be the 450 plus the 250 plus the 100.
David McKay: Dave here. And we -- I think I've talked about this quite a few times in various analyst calls and conferences. We have not had any dialogue other than the fact that, what Rod said, that we expect this to be the buffer that we're required to maintain as a GSIB. We have talked about higher cost of disclosure and higher costs potentially around resolution planning as a GSIB. But certainly, on the capital buffer, I think we've been consistent in our answer to this question for the last 2 years. And to reiterate again, we have not had any conversation other than what we told you.
Operator: There are no further questions registered. At this time, I would like to turn the meeting back over to you, Mr. Mun.
Dave Mun: Thanks, operator and thanks for joining us, everyone. Look forward to chatting with you again next quarter. Have a good morning.
Operator: Thank you, gentlemen. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.